Operator: Welcome to the Northland Power Conference Call to Discuss the 2015 First Quarter Results. During the presentation all participants will be in listen-only mode. [Operator Instructions] As a reminder this conference is being recorded Tuesday, May 12, 2015 at 10 AM Easter Time. Conducting this call for Northland Power are John Brace, Chief Executive Officer; Sean Durfy, President and Chief Development Officer; Paul Bradley, Chief Financial Officer; and Adam Beaumont, Director of Finance. Northland Power management has asked me to caution you that their summary of results and responses to your questions may contain forward-looking statements that include assumptions and are subject to various risks. Actual results may differ materially from management’s expected or forecasted results. Please read the forward-looking statements section in yesterday’s news release announcing Northland Power’s results and be guided by its content in making investment decisions or recommendations. The release is available at www.northlandpower.ca. I’d now like turn the call over to John Brace. Please go ahead.
John Brace: Thank you very much operator and good morning everyone. The first couple of months since 2015 have been some of the positive in over 25 years at Northland Power. Our transformation from an independent generally focused power producer into an international developer and owner of sustainable energy infrastructure is well underway. We have long defined our business strategy as one of focusing on measured growth that enables us to deliver sustainable returns. Our activity and result so far in 2015 demonstrate that we are applying the strategy with equal parts of boldness and diligence. Paul will provide more detail on our financial results shortly but I can tell you that while our quarterly adjusted EBITDA was marginally lower than the same period last year is result of us taking advantage to some exceptional opportunities in the natural gas market due to high prices last winter our overall results were in line with our expectations. The first three months of 2015 saw a successfully complete over $2 billion of debt and equity financing or taking big steps forward when our European offshore wind portfolio and Ontario renewable projects. In March we closed financing on a total of €1.2 billion for a second 332 megawatt offshore wind project called Nordsee One located approximately 40 kilometers off the coast of Germany in the North Sea. We also closed financing on our 100 megawatt Grand Bend wind project located in Ontario with the projected cost of $384 million. Both Nordsee One and Grand Band are now under construction. Construction is also progressing well on our 600 megawatt Gemini offshore wind project in the Netherlands and our four remaining Ground-mounted Solar projects here in Ontario above which I’ll talk more shortly. Our 2015 focus is on successfully delivering or advancing all of these projects and so far so good I look forward to provide any more detailed presentation on our progress at our upcoming AGM on May 19th I can tell you in the mean time that all construction projects are proceeding well. On Gemini production at the 200 kilometers of electrical interconnection cables which you can see illustrated on the covers of our 2014 annual report is nearing completion and installation out at sea has already started. Almost 90% of the 150 monopile foundations for the turbines have been made in progress on the two offshore high voltage substation platforms is significant. The remainder of the project components are in production and onshore construction is also taking place. As part of our due diligence for Northland and under our rules as members of the Gemini Board of Directors both Paul Bradley and I have been visiting some of the Gemini manufacturing facilities. These have included the electric cable, monopiles, transition pieces, offshore platforms and foundations and the turbine manufacturing facilities. I can tell you that seeing the scale and size of the equipment being produced and the huge number of components that have already been made is extremely impressive. What is most important however is that overall things are progressing well and so far both Gemini and Nordsee are proceeding on schedule and on budget. We are creating infrastructure that will meet the electricity needs of millions of people for many years into the future while supporting the Europe Union's clean energy transformation. We see a healthy appetite and therefore significant opportunities for this version in technology. In fact a new report from global data indicates that Germany is set to overtake the UK as the global leader for annual offshore wind turbine installations in 2015 with over 2,000 megawatts estimated to be added this year. Globally annual offshore wind installations are expected to more than double and we are excited to be a part of this growing industry. And here at home, well on the smaller scale we're also building important clean energy infrastructure at our Grand Ben Wind project which is a 50-50 partnership with two first nations. Excavation has already begun along the underground transmission line, the turbines and other major components are on order. Construction will continue throughout 2015 and the project is anticipated to start producing electricity in the first half of 2016. Finally, progress on our four remaining Ground-Mounted Solar Projects, divide into two parts. First is the completion of the construction. As we told you on our last call, Ganotec Inc. has taken over construction on the remaining four projects. Construction on all four sites is progressing well, and they are expected to be complete in 2015. Second, thus a situation with the original contractor H.B. White; whom we terminated at the end of last year for breach of the EPC contract. Expectedly the wait in the number of subcontractors have filed liens and claims on the projects and we have filed our own claims against White for cost, losses and damages for breaches of the contract. It will undoubtedly take some time for these legal matters to be sorted out and we are convinced of the legitimacy of our position. In the meantime the projects will be finished and in production. Despite these challenges, we remain confident that overall, our Ground-Mounted Solar portfolio will meet return expectations and deliver attractive reliable results over the long term. Moving to an update on our long term assets, I'd also like to provide to you an update of the global adjustment phase that affects three of our interior power projects agreements. Back in March, the quarter rolled in favor of Northland and other power producers in relation to the escalators in our power purchase agreements. Disappointingly but I suppose unsurprisingly the ruling was appealed by the contract counterparty. We feel confident that the courts will continue to rule in our favor as the case progresses through the legal system. I am also pleased to remind you that our Kirkland Lake facility has already signed a new 20-year contract for the 30 megawatt gas peaking portion of that generation station. The details of an agreement for the final base load gas field portion of the facility are being papered. We are also working trying to ensure a long future for our Kirkland facility, however as power purchase agreements extension expired as of midnight last night at which time we cease to generating electricity. We've not yet permanently shut down the facility or decreased our efforts towards attaining a contract renewal or further extension. Our staff remained employed as we continue to do everything we can to secure a new agreement. We have the support of the community in the region. The facility is critically important to North Eastern Ontario and its forestry industries and our host community in Kirkland. We will continue to work hard to find a solution, building a sustainable future for our host communities translates to a sustainable investment for our shareholders. On that note the quarter has seen significant activity from the financing perspective. As part of the over $2 billion in debt and equity financing that I mentioned at the start, we successfully completed over $400 million of convertible debentures and common share offerings during the first quarter. The proceeds were used to help fund our investments in the Nordsee One and Grand Bend projects. In February, we closed the sale of our interest in the Frampton wind project for net proceeds of approximately $10 million. To achieve our continued growth objectives we are applying our proven strategies on an ever increasing scale. The result is in increasingly diverse portfolio of clean and creating a long term energy assets. I would now like to turn the microphone over to Paul for further discussion on our financial results.
Paul Bradley: Thank you, John. I'd like to extend my thanks to everybody for joining us this morning. As John mentioned it's been extremely busy quarter for us. Last night, Northland Power released its 2015 first quarter results. Northland's plant operations for the most part met or exceeded our expectations for the quarter, with the company generating $97 million of adjusted EBITDA. As John noted, the first quarter of last year that's 2014, produced exceptionally strong results. The period of high natural gas prices provide us with opportunities to curtail electricity production and resell the natural gas at certain facilities, which created unexpectedly high natural gas resell margins. So as those spikes and gas prices did not recur this year, Northland's performance reflected the more normal level of operations resulting in a 5% decrease in adjusted EBITDA from the same quarter last year and free cash flow down $50 million, 11% lower. The sites of the non-recurring gas resale's margins, other key factors that affected our adjusted EBITDA for the quarter included the following. Higher interest income earned on Northland's portion of the Gemini subordinated debt, inclusion of Mclean's which became operational in May 2014 as well as the non-recurrence of the write-off of deferred development cost into 2014. These increases to adjusted EBITDA were more than offset by several items. First a onetime charge associated with an IESO generator cost recovery program for Thorold. Second, lower performance incentive fees earned from Cochrane and Kirkland Lake, also may be due to the 2014 gas resale margins. Third, lower investment income largely due to higher dividends for Panda-Brandywine in 2014. And lastly increased corporate management and administration cost. Northland’s free cash flow are 50 million for the quarter were 7 million lower than the same quarter in 2014 for the same reason as a decrease in adjusted EBITDA and largely due to the high level gas resale in 2014. Other factors contributing the lower free cash flow over 2014 include an increase in net interest expense increase primarily due to the inclusion of interest on the claims and Ground-mounted Solar Phase II debt, interest on the convertible debentures from those issued in January and interest on Northland’s corporate term facility; also an increase in scheduled debt repayments from these new debt facilities. These net decreases in free cash flow were partially offset by the net proceeds from the sale of the Frampton wind farm in 2015. Our dividend payout ratio for the quarter was 81% versus 63% in 2014 on a total dividend basis, including the effective dividends invested through Northland’s DRIP program, the cash dividend payout was 60% compared to 49% in the first quarter of 2014. The increase in payout ratio reflects the decreased free cash flow and the new share capital issuances to fund Nordsee One, Grand Bend and in Gemini projects. This is in line with our expectations as we execute on our development and construction program. The GAAP net loss of 26 million exceeded the prior year primarily as a result of the non-cash fair value accounting loss on interest rate swaps at Gemini and Nordsee One. This net loss does not reflect the economic substance of the projects, because the interest rate swaps are used to effectively fix the interest rates at Gemini and Nordsee One. These fair value adjustments are non-cash items that will reverse over time and have no impact on the cash obligations of Northland towards projects. Turning to Northland’s financing activities this quarter. We have continued the vigorous pace of 2014. In the first three months of the year we completed over $2 billion of debt and equity financings as we advanced our projects into construction. To assistant funding our Nordsee One and Grand Bend wind projects, we issued as convertible debenture offering in the amount of 158 million and a common share offering with gross proceeds of 281 million which includes the private placement of 50 million from our Founder and Chairman, Jim Temerty. The funds will also be used to refurnish working capital and general corporate purposes. Approximately 70% of Nordsee One’s €1.2 million project cost will be provided from a non-recourse bank loan for multiple international commercial lenders. Reflecting the strength of the project the financing was over-subscribed and completed in only six months from the commencement of the bank debt process. Late in March, we also completed financing on the Grand Bend wind project. The total project cost is expected to be 384 million and approximately 85% of the projects required financing has been provided by an institutional style fixed rate amortizing loan. The total co-generation bank term loan coming due in September was refinanced for 183 million with its maturity extended to March 2030, with this financing Northland has extinguished all of its project refinancing liquidity risk and has locked in all interest rates towards project debt. Northland also entered into foreign exchange contracts to effectively fix the foreign exchange conversion rate on substantially all projected euro denominated cash inflows from Nordsee One over the fixed cash period. As you can see it was extremely busy quarter for Northland’s financing team. For our financial outlook for 2015 Northland continues to expect our adjusted EBITDA to be in the range of 380 million to 400 million in 2015. We are currently guiding towards the lower end of the range allowing unfavorable outcomes of the contract extension of Cochrane and potentially different interim arrangements on the appeal of the global adjustment court case and should these two items come out as we don’t expect then we have some allowance at our guidance for that. For payout ratio in 2015 we continue to expect the ratio to be in the range of 100% to 115% of free cash flow on a total dividend basis. As we have said in the past Northland’s payout ratio is expected to exceed 100% on a total dividend basis, until Gemini and Nordsee are completed in 2017. On a net basis however, including the impact of reinvested dividends through the DRIP, we expect the cash dividends to be 75% to 85% of free cash flow. As demonstrated by all the financing activity this quarter, management’s continued objective is to effectively manage our balance sheet and minimize the amount of dilutive equity raised while prudently maintaining healthy credit metrics. And with that I will turn the call back to John for concluding remarks before taking your questions.
John Brace: Thank you, Paul. I believe our results this quarter demonstrate significant progress towards achieving our 2015 commitments. Results are gratifying to see the Northland team’s efforts acknowledged by the international finance and business community through awards from a number of prestigious publications. Some of these we told you about on our last call but here is a summary of all of the awards, Projects Finance International, Power Deal of the year Europe awarded to our Gemini project, Infrastructure Journal and Project Finance Magazine, Win Deal of the Year Europe and overall winner for Europe and Africa awarded to Gemini, Netherlands Canadian chamber of Commerce Northland named 2014 business of the year, Environmental Finance Win Deal of the year of the year 2015 awarded to Gemini and Investor Relations Magazine awarded Paul Bradley, best Investor Relations Canada by our CFO. It has been over 25 years since we opened our first facility in Cochrane, Ontario and we have since transformed into an international power producer. We are now in the period of significant growth and we are focused on successfully delivering in that growth while continuing to deliver on our commitments to our investors. We believe our ability to marry entrepreneurialism and prudence that are focused on effectively managing risk will hoping to forge the worldwide shifts to sustainable energy is helping to divine Northland as a leader an innovator and a company to watch. We have big things ahead of us and we look forward to showing you what were capable of. As we grow, we remained focused on our core promise to deliver sustainable value that our shareholders can depend on today and well into the future. That includes our formal remarks. And would be pleased to take your questions at this time. Operator if you can please hand over questions. Question-and-Answer Session.
Operator: Thank you. Ladies and gentlemen [Operator Instructions] Our first question comes from the line of Nelson Ng with RBC Capital Markets. Please proceed with your question.
Nelson Ng : Great, thanks. Good morning everyone. Just the quick question on Cochrane, so if the facility stops running for period until hopefully get another contract are there any issues with the biomass or a gas supply and do you expect the facility to be running mainly on gas if it becomes bigger?
John Brace: There is several parts to answer my question like Nelson first we are doing our best to make sure that gas supplies and wood supplies will still be available to us when we get to start our facility up again if the plan were to continue on operating as it was than it would be gas and biomass that as it has always been, if negotiations with the government were to proceed in a fashion that it would be turned into a partly peaking facility then one could expect that the gas part of that would be that probably the biomass would continue on in more or less a base load mode we are making sure as from a contractual point of view and a physical point of view that we laying up the facility in the interim period here while we're now running to be capable of generating well long with into the future.
Nelson Ng : Okay, thanks. And then I have a few questions about Nordsee One, in terms of send we on the turbines I'm sure that banks are pretty comfortable with the turbines given the financial close has been achieved but can you provide some color in terms of like from your perspective in terms of like the technology risk like I understand the turbines are pretty big like 6.5 megawatts and it's not that common out there right now and I'm not sure if the website is updated but I think Senvion's website indicates that there is about 4 off shore in projects with those blades operating so can you just give me a sense of how your perspective of the technology risk?
John Brace: This very part answer with slide going to a longer one Nelson was there were very comfortable with the turbines it's in fact one of them Senvion is one of the larger turbine producers for the off shore wind industry. The turbine were using is already been deployed in other wind farms and is in operation and so and has a good track record so there is one known issue to do with the bearing's on the turbine and Senvion has both the short term fix and a long term program in place for dealing with that and you can bet that in our contract to Senvion their contractual provisions they relate to keeping us immune as it were from any difficulties with the bearing which I think frankly reflects Senvion's confidence in the future and also center bridge their recent purchase risk confidence in Senvion as a long term performer in the off shore wind industry. On top of that off course as you mentioned the banks and the banks due diligent engineers have been all through it and Senvion's turbines are the ones we are using for our project and their prior track record come up with good marks.
Nelson Ng : I see. And then just one kind of follow up question on Senvion, so you mentioned that they were recently acquired I think earlier this year for 1.2 billion. Can you talk about counter party risk and any changes in the direction of the company or the company's strategy?
Paul Bradley: Yes. I think Nelson net net we were positively impressed by the [Centerbridge] acquisition, Senvion has always been -- and for those who don’t know Senvion is rename of REpower and everyone knows REpower is one of the first turbine companies in the wind business and they’ve always been a consistent performer year-over-year and a very solid technology. With [Centerbridge’s] acquisition it basically took a very weak and unhealthy pattern out of the picture and the concern always was hate as the company get rated or the assets gate rated to help the weak pattern. The acquisition and we were pretty to a number of the dates around the acquisition from both [Centerbridge] and the company, but the company actually has a number of protections in place that put us in a much better position overall. And also the acquisition price reflects the strength of Senvion’s ability to produce income. So I think once we got through all of our due diligence of the acquisition we were net net very happy about the file.
Nelson Ng : Thanks, Paul. And then just one last question relaying to your general overhead cost I think management and [win] cost have increased, I was just wondering in terms of I guess directionally do you expect those cost to continue to increase over the next few years with the two offshore wind projects I guess being commissioned in 2017. And then also I wanted to ask whether the development cost will kind of ramp up going forward and whether you’ve started spending development cost in Latin America yet?
Paul Bradley: I’ll talk about the first one, we’ve been over the past year but probably back end loaded to earlier in 2015 has been building in the necessary infrastructure to take us from kind of a fairly small Canadian base company to a company that’s positioning itself to be powerhouse in a much broader market and much bigger project. So that as you can imagine take some infrastructure from systems and compliance and all kinds of internal folks. So you’re seeing us walk away through that I certainly wouldn’t want -- all believe for a moment that’s a trend but there is a bit of the step that we’re going through at the current time for the overhead cost. We’re seeing some good productivity coming out of it and from the risk management standpoint and from other elements that it’s the right thing to do and it was time for us to do some of it. So period no time like the present to make those investments. I’ll let Sean cover from the development side, Sean Durfy, our President and Chief Development Officer.
Sean Durfy : Thanks, Paul. Nelson, from the perspective of development costs our costs are in line and somewhat lower actually due to development expenses than we had last year. And we’re also very prudent in how we go about spending development cost once we get further into the development cycle. When it comes to Latin America we’re still very much in the origination stage of development so very little excessive cost going into that, in other words we don’t have foreign deals yet. So we’re still very much in the origination phase so lower expense cost.
Operator: Our next question comes from the line of Paul Lechem with CIBC. Please proceed with your question.
Paul Lechem : Thank you. Good morning. I’m just wondering for Cochrane, if the plant remain shut down for the balance of Q2, what should we expect in terms of cost just to maintain that facility until potentially a new deal is struck?
John Brace: Paul, we’re not going to nearly go into that I mean Cochrane is less than 2% of our current take on everything no matter what you do to it. So we haven’t really tried to pull us out as you can imagine there is some competitive attention here with our off take or not disclosing orderly on our financial information so if don’t mind we’ll passing that question.
Paul Lechem : Fair enough. On the Brand Bend still, bit of an update in the last call you gave an update -- expected to build the project, is that number that you gave last quarter that still what you believe you can bring these facilities in under.
John Brace: Yes.
Paul Lechem : The 75 to that 13 project is still help?
John Brace: Yes.
Paul Lechem : Okay. And lastly on Gemini, can you give us over the next few months what milestone should we expect maybe between now and the next call on the Gemini construction. Thanks.
Paul Bradley: The main thing that will happen on July 1st under our environmental permit were allowed to start installing the monopile foundations for the turbines. So on our next call presumably we’ll be able to tell you something about the number of foundations that have already been late. In addition to that there should be fair amount of the offshore cable, the export cable about 200 kilometers of undersea cable I mentioned in the earlier remarks laid on the ocean floor and depending on the exact timing we may be close to sending the offshore platforms out to sea but can't remember when our next call is actually scheduled for the date, it’s August so they should be out.
Operator: Our next question comes from the line of Rupert Merer with National Bank. Please proceed with your question.
Rupert Merer: So looking at your construction pipeline as a few projects moved to financial close. [I imagine] you put all your equity into those projects today, is that correct?
John Brace: That's correct. Let`s say typically Rupert the banks insisted the equity goes in first.
Rupert Merer: Right, so sounds like your approach going well, so given where you are now and what you've learned over the last few quarters, what keeps you up at [night] today with those projects if anything and already you see [indiscernible] risky or you're scheduled on budget today?
John Brace: That's pretty wide reaching question. I think from my perspective, we are confident that all of the projects which are under-construction will meet their schedules and budgets. What we have to do as the owners, is make sure in the case of Gemini and Nordsee, whether actually large teams of people that are the owners side of the table over in Europe watching that the contractors do what they're supposed to do with a right degree of quality and the right rate level of health and safety and environmental protection and cost control that the projects unfold. So from Northland's point of view our role to a large degree is ensuring that our two teams of 40 odd people in Europe perform and watch the contractor the way they are supposed to do. In the case of North America here for Grand Bend's we have a classical balance plan contract with [indiscernible] and we are -- our role is much closer to the home in terms of watching them and making sure they do what they are supposed to do. And off course in the [indiscernible] we are in slightly different relationship now with [indiscernible] than we were with White, so we are paying close attention to scheduling cost on those projects. So the shorter form version of it is, I wouldn't say, it keeps me up at night in a frightened state by any means but as owners, we have to make sure that we absorb these projects and influence these projects to best we can to make sure they stay on schedule and on budget. And off course overwriting everything is the need and the absolute necessity of clean health and safety records and environmental records on those projects.
Rupert Merer: Yes, great, thanks, just a quick follow up on Nelson's question, in early classification of Nordsee and Grand Bend, from development of TPNA, will you see a decline in your development cost for the rest of the year?
John Brace: I think, remember our business is one big pipeline. Absolutely after continue to develop, but we do it prudently, right now we don't have any projects in the stage of where Nordsee was six months ago, so we'll continue on the origination side and continue developing deals and really it's the Nordsee shows the most promise over the short term. So our development budget is what it is and as I said it's a touch lower than it was the previous year.
Operator: Our next question comes from the line of Sean Steuart with TD Securities. Please proceed with your question.
Sean Steuart: Couple of questions, with respect to Phase III of the Solar, I think the wording in the MD&A was you're not in a position to determine expected final returns but you do expect it to reach minimum hurdles. I guess just with products underway here and it seems like a fair degree certainty on CapEx. I'm surprised you aren't able to nail that in, is it just with respect to the ongoing legal proceedings with the former contractor?
John Brace: Yes, that's a main part Sean, as in our view we're very convinced of the legitimacy of our position as I mentioned earlier on, it's how much money that White ends up pawning up to the table and [that is, we'll be able] to fight to get there, so that's a fairly uncertain number at this stage.
Paul Bradley: And that's why we put the outside barrier number in there Sean, just to let people get a sense of where we believe the worst outcome comes and then Sean, we believe we'll do better than that, but we feel it's responsible for the outside number.
Sean Steuart: Okay, understood. And then on Kirkland Lake, can you give us any context on the economics for the TPA for the 30 megawatt peaker?
John Brace: With rather which we get the whole package done because we're in the middle of a very commercial sensitive negotiations, so let us defer that if you don't mind Sean?
Operator: [Operator instructions] Our next question comes from the line of Matthew Akman with Scotiabank. Please proceed with your question.
Matthew Akman: Good morning. Paul I wonder if you could just recap the [thorough] refinance terms versus prior any advantages in the refinance terms relative to what it was in place?
Paul Bradley: Yes, so basically a largely awash, we didn't over finance it, [indiscernible] plenty of money out and if you realize the interest rate had been swapped out there really was no gain on the underline and [indiscernible] was done at a time when spreads were at historical low so the spreads were ted higher than that we had before but we are also able to pick that up in better amortization of the final debt so from a free cash flow perspective the financing kind of kept us about the same maybe as snick below where you were but nothing was mentioning.
Matthew Akman: Good was the amortization disclose?
Paul Bradley: Well. Typically we do disclose it I don't believe we've come out with an area since we've done that as typically we will put it there but it's basically closer at the end of the life with the PPA along with CAF I think if you go back if you want to get the exact one you can pull out what the institutional change was amendment [Indiscernible]
Matthew Akman: Okay. Thank you. In terms of the FX hedges and the projects finance on North Sea can you make any comments about where you hedged out versus your expectations for returns and your project analysis going in.
Paul Bradley: While we hedge we typically look at our projects pre-hedged only to keep the discipline of trying to make the hedging decision as a corporate decision not a project decision because it's really the corporate investors that are enjoying those cash flows not the project per say. What I can tell you is that the euro cad forward swap rates tend to still be very favorable versus just a plain forward spot rates so in other words we will have picked up a fair bit of return over the course of time if you kind of take the swap and marry it up with the actual project cash flows but again I would like to reiterate that we keep the corporate hedging transactions we try to keep that little bit separate from the actual project transactions.
Matthew Akman: Okay, thanks for that. And finally is it too early to talk about contingencies on Gemini and North Sea and whether you have started to chug and to those at all at a normal pace or do you waits for another 3 months to 6 months to start hearing about that?
John Brace: By thinking the case with North Sea it's too early for sure in the case with Gemini and we've been under way for a year now there has been a small use of contingency but nothing significant at this point in time.
Operator: Our next question comes from the line of Steven Paget with FirstEnergy. Please proceed with your question.
Steven Paget: Thank you and good morning. Gentlemen off shore wind went from a technology or skill set that was expensive to something that was economic and could be brought in on time on budget and that's when Gemini and North Sea team in the picture am I correct.
Unidentified Company Representative : Yes.
Unidentified Analyst : So what three technologies are coming in that you will be looking at as in that off shore wind renewable or power generation technologies that are just becoming economic and you saw.
Paul Bradley: I'll start and then John can jump in. I think the Steven we are sort of 15 years into the commercial application of off shore wind so it's still a very young industry and I think there is incredible potential still in the off shore wind space be it in the North Sea another parts of the world so our concentrated development efforts have been continue to look at that technology the company was started on the basis of thermal technologies and we still see plenty of opportunities there as well and off course with solar we've got our first solar plant in Latin American countries, solar is becoming closer to grid parity and a lot of opportunity there as well, so leading edge technologies I don't know I could let John answer it but from my perspective and a development perspective I think we got lots of opportunity in those three technological fields.
Unidentified Company Representative: Well just before [Indiscernible] oracle of the future I just like to remind everybody that we are kind of an infrastructure company so we aren't even looking to necessarily be cutting edge on new technologies we to your point Steven we did enter an off shore wind when it was at the point that we felt the maturity was sufficient and probably the rest of the world thinks it's a bit early and there end lies the superior returns that you can get at a certain technology but as when it comes to things like wave technology or some of the storage ideas are out there I think you would certainly wait for them to mature that before you saw a stuff filing in those areas and now John Brace.
John Brace: I think maybe on the one thing to add to elaborate a bid on something Paul just mentioned storage as a lot of stuff going on and storage with all search of different technologies but I would just like to remind everyone it doesn't need to be new technology to solve the misuse of the day and those are of project which is from storage are very old technology or very proven technology and wonderful project so you don't really need new technologies to move the ball down the court on the developments and improvement of the electricity generating system.
Operator: Mr. Brace there are no further questions at this time. I will turn the call back to you.
John Brace: Thank you very much operator and everyone for joining us today. We will hold our next call following the release of our second quarter results in August and we look forward to talking to you then. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and have a pleasant day.